Operator: Welcome to the Corporate Office Properties Trust First Quarter 2008 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, I will turn the call over to Mary Ellen Fowler, the Company's Vice President and Treasurer. Ms. Fowler, please go ahead.
Mary Ellen Fowler – Vice President and Treasurer: Thank you and good morning, everyone. Today we'll be discussing our first quarter 2008 results. With me today are Rand Griffin, our President and CEO; Roger Waesche, our COO; and Steve Riffee, our CFO. As they review the result of the first quarter the management team will be referring to our quarterly supplemental information package. You can access our supplemental package as well as that press release on the Investor Relation section of our website at www.copt.com. Within the supplemental package you'll find a reconciliation of non-GAAP financial measures to GAAP measures referenced throughout this call. Also under the investor relation section of our website you will find a reconciliation of our second quarter 2008 and annual 2008 guidance. At the conclusion of this discussion the call will be opened up for your question. Before we begin I must remind all of you that certain statements made during this call regarding anticipated operating results and future events are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although such statements and projections are based upon what we believe to be reasonable assumptions actual results may differ from those projected. These factors that could cause actual results to differ materially include without limitation, the ability to renew or release space under favorable terms, regulatory changes, changes in the economy, the successful and timely completion of acquisitions and development projects, changes in interest rates and other risks associated with the commercial real estate business as detailed in our filings from time-to-time with the Securities and Exchange Commission. Please note the company assumes no obligation to update any forward looking statements. Now, I would like to turn the call over to Rand.
Rand Griffin – President and Chief Executive Officer: Thanks Mary Ellen and good morning everyone. We are pleased a solid first quarter for the company achieving FFO of $0.58 per diluted share which was at the top end of our guidance. Total FFO for this quarter grew by 13.7% on a diluted per share basis over the first quarter of last year. As Steve will discuss in a moment, our FFO growth this year has heavily weighted to the second half of the year. We still expect to produce a strong 8 to 11% gross rate during the year where the peer group median FFO growth rate is 3.3%.
 : As we look ahead, we do believe our strong tenant help us to any potential downturn. As an example our top 20 tenants generate 54% of our annualized revenues of which the US government represents 16%. The top two concerns for REITS this year are capital availability and leasing. We have addressed our capital requirements through a new construction revolver that will fund a majority of our development pipeline for 2008 and 2009. We are also working on several transactions to refinance the balance of debt maturing in 2008. On the leasing side, we continue to see strong leasing on our renewals and are seeing good leasing activity for a majority of our buildings in our development pipeline which we believe is a direct result of our quality products and level of customer service. When we compete with new development in our markets we have a distinct advantage in today's environment. In addition to our outstanding level of customer service, tenants appreciate our large and long term ownership position in multiple locations where we have the capacity to accommodate their future growth. As the economy continues to soften, the REITs in general and COPT in particular have a competitive advantage due to access to capital and strong tenant relationships. We are starting to hear about opportunities where private developers do not have the access to capital nor the tenant relationships to move forwards successfully on new development in this difficult environment. With that in mind, we are looking at opportunities to expand in additional locations where our tenant centric expansion strategy will be successful. We are also starting to see a few scattered acquisition opportunities in our tenant centric locations where we can expand our presence. With regard to BRAC, we are starting to see some early indications of defense contractor demand at both Northgate Business Park and Aberdeen Proving ground and at the National Business Park across from Fort Meade. Both BARC locations have now had ground breaking ceremonies for their new facilities to house onsite government personnel. Occupancy for the government personnel will start as early as September 2009 for Aberdeen Proving Ground and October 2010 for this at Fort Meade. The remaining moves will occur gradually from these dates and will be completed by September 2011. During 2008 we believe our investors are looking at safety of earnings and we will compare well in that analysis. For the most recent quarter, assets containing our core tenants in the government, defense, IT and data sectors generated 56% of the company's combined net operating income, and we see these sectors continuing to grow. For the balance of 2008 we will continue to work our plan and feel comfortable that our early on thoughtful recession planing will allow us to deliver sector leading FFO growth for 2008. And with that I will turn the call over to Roger.
Roger Waesche – Chief Operating Officer: Thanks Rand. Turning to our portfolio at March 31st our wholly-owned portfolio ended the quarter at close to 93% occupied and 94% leased. In terms of overall leasing statistics we renewed 588,000 square feet equating to a 83% renewal rate at a low average capital cost of $3.77 per square foot. For renewed space, total rent increased 12.3% on a GAAP basis and 6.4% on a cash basis. For renewed and retenanted space of 719,000 square feet, total rent increased 9.9% on a GAAP basis and 3.9% on a cash basis. For renewed and retenanted space for the quarter the average capital cost was $6.48 per square foot. Some of the larger renewals for the quarter included the US government in two locations for over 50,000 square feet each, MedStar Health in two locations for over 45,000 square feet and General Dynamics for over 45,000 square feet. Turning to lease expirations for 2008. We have 7.2% of our total annualized revenue expiring down from 11.2% at the beginning of the year. We continue to expect a high retention rate for the year. Although they can see lease maybe somewhat slower than normal due to slower economic growth. We do expect tenant concessions via increased tenant improvements and free rent to modestly increase as we go forward over the next twelve months. We are also realizing some cost pressure in operating expenses particularly in the energy and labor markets. Our operating margins were lower than normal on the first quarter. Much of this is seasonal, as the first quarter included snow cost and high energy cost. Also we do not process full operating recovery reconciliations during the first three quarters of the year. The second quarter is usually our lowest cost quarter, and we would expect our margins to bounce back this quarter. With regard to our property management, we are pleased to report that we achieved for the fourth year in a row a best in industry ranking by CEO and associates for our commitment to the highest level of quality and service to our tenants. We were the winner of the 2007 National Commercial Real Estate Customer Service Award for excellence for category one properties, also referred to a CA list award. Category one represents companies earning over 100 properties, and this is the largest of the categories. CEO surveys over 2.5 million tenants a year to derive the ratings for each land owned. We consistently stress good services to key the satisfying retaining our tenants, and it is the foundation of our tenant centric expansion strategy. We are very proud for the fourth in the row to receive this recognition since it reflects our dedication to serving new tenants in an exceptional manner. Turning to our markets, with regard to the BWI submarket as of March 31st within the total market of 6.4 million square feet. They can see including subleased sort of 12.4% up from 9.7% one year ago. However down from 14.2% in the fourth quarter of 2007. Our BWI portfolio totaling $4.6 million square feet and representing 72% of the BWI submarket was 93% leased at March 31st. Turning next to the Columbia Submarket in Howard County, at March 31st, vacancy with sublease was 12.7% relatively flat from a year ago. Our properties in the Columbia, submarket total 3 million square feet and are currently 93.5% leased. Our Suburban Baltimore portfolio is 87% leased. We continue to experience good leasing activity and interest in this market for moderate-size users. The market in suburban Baltimore is remained healthy due to the lack of new supply and healthy demand. Within COPT's Northern Virginia submarkets, the direct vacancy rate was up to 13.9% versus 10.3% one year ago. Quarterly absorption was a negative 198,000 square feet. Approximately 2.4 million square feet was added over the past year. Our portfolio of 2.5 million square feet is 99.3% leased at March 31st. Looking just at the Dulles South submarket in Northern Virginia, the direct vacancy rate ended the first quarter at 18.7%. Within the Dulles South submarket, there was approximately 1 million square feet added to the market as of March 31st, the majority built on spec. Our operating portfolio of 9 buildings totaling approximately 1.5 million square feet is 99.6% leased, and we have no major rollovers until the end of 2009. We continue to believe that we are well protected from the impact of any potential overbuilding in this submarket. Turning to acquisitions, our business plan for 2008 assumed to no acquisitions. We are starting to see some pricing movement to where the company could make some selected strategic acquisitions that would enhance our customer expansion strategy. With regard to dispositions during the quarter, we sold a 142,000 square foot building a Ridge Road to an existing tenant. And subsequent to quarter end, we sold a 41,000 square foot building. Those properties are located in New Jersey. This leaves two 100% leased buildings totaling 201,000 square feet to sell in New Jersey to complete our exit from this market. We expect that tenant occupying these two buildings to acquire the buildings in 2009. With that I will turn the call over to Steve.
Steve Riffee - Chief Financial Officer: Thanks, Roger. Turning to our results, diluted FFO for the first quarter of 2008 totaled 32 with $4 million or $0.58 per diluted share. In the first quarter of 2007, we reported delivered FFO of $28.3 million over $0.51 per diluted share representing a 13.7% increase on a per share basis. First quarter results of $0.58 per diluted share was at the top end of our guidance. Although FFO contributions from termination fees and service level income combined forecasted by $0.01 per diluted share. Gains in sales of non-operating assets including the Towerview condo units and another non-operating assets were $800,000 for the first quarter which is less than we have forecasted. A contribution from development placed into service are on schedule as originally anticipated in our guidance. We reported net income to the first quarter of $7.4 million or $0.15 per diluted share compared to $1.6 million or $0.03 per diluted share for the first quarter of 2007. Turning to AFFO after adjusting for capital expenditures and the straight lining of rents, our adjusted funds from operations of $24.5 million represents an increase of 11% from $22.1 million in the first quarter of 2007. Our diluted FFO payout ratio was 58.5% for the first quarter as compared to 60.4% FFO payout ratio for the comparable 2007 quarter. The diluted AFFO payout ratio was a strong 77.4% in both the first quarters of 2008 and in 2007. Looking at our same office results for the first quarter of 2008, for the 164 properties or 82.5% of the wholly owned total square footage. Same office cash NOI increased by 5% excluding the effect of a $1.1 million reduction in lease termination fees. The same office results were positively impacted by retarding space in our Northern Virginia portfolio and lease up in our Suburban Maryland properties. Including the effect of lower lease termination fees same office property cash NOI increased by 2.8% for the quarter. Turning to the balance sheet. At March 31st the company had a total market cap of approximately $3.9 billion with $1.8 billion of debt outstanding which equates to a debt to market Cap ratio of 46.8%. Our weighted average cost of debt for the first quarter was 5.42% down from 5.83% a year ago, and 79%of our total debt was at fixed rate. Our first quarter EBITDA to interest expense coverage ratio was a strong 2.96 times and our first quarter fixed charge coverage ratio was a strong 2.45 times. Subsequent to year end, we closed a $225 million revolving construction facility that will be used to fund our wholly owned development pipeline. The facility provides for funding of 85% of the construction cost for each of our wholly owned buildings. The term of the facilities is three years for the one year extension option, and the opportunity to increase the facility from $225 million to $325 million at a future date. Repayment terms or interest only and the interest spread start to 160 basis points over LIBOR and is depended on the company's overall average. For each building under construction we have the land and the initial predevelopment cost as our equity. Our initial draw of $35 million was utilized to pay down our revolver. We found that strong backing relationships are very important in this challenging credit environment, and we appreciate our deep bank group and awareness to support the company in the past and again this year. With regard to repayment of maturing debt for 2008 we’ve repaid $53 million so far this year. We are currently in the market and closed to financing terms on the $225 million non-recourse term loan that will refinance $187 million of maturing debt and we intend to extend the remaining $40 million of debt for one year under an extension option. With these loan transactions, we will have addressed our major financing concerns for the year which is a key issue for most REITS in this credit environment. Turning to our guidance, our guidance still does not anticipate any significant acquisitions. Although, we are seeing some opportunity that are more attractive than in recent quarters and thus we are not forecasting in these to raise equity capital to the balance of 2008. We believe we can continue to use the equity and our land inventory, coupled with the construction financing to fund new development through 2008 and 2009. And in addition, we de-levered in early 2007 through the issuance of stock and units for both the Nottingham and the Interquest acquisitions, at an average net stock per unit price of $49 per share. With respect to our guidance for 2008, although there have been a few changes in our underlying assumptions. We are confirming our expectation of $2.41 to $2.49 of FFO per diluted share which represents an 8 to 11% year-over-year FFO growth. These changes and assumption principally relate to the following. A reduction in termination fees and the initial annual expectations of $4 million to a new overestimate of $2 million. Second, a reduction of $1 million in anticipated net G&A expenses from an initial average of approximately $6 million per quarter or $24 million for the year to a new estimate of approximately $23 million for the year. This change relates primarily to the reduction in some expected professional fees and compensation cost related to the timing of some new hires. And finally, reduction of interest expense of approximately $1.1 million primarily attributed to the reduction of LIBOR. In November of last year when we outlined our initial guidance for 2008 we acknowledge that our FFO growth will be weighted towards the last three to six months of 2008. And leasing efforts would be realized and the impact of the opening and lease up of several development projects would be achieved. Our reforecast for 2008 continues to reconfirm that trend. So as a result, we feel it is important to give you some sense of our expectation for the second quarter’s results. We expect FFO per share for the second quarter to be between $0.58 and $0.60 per diluted share. We expect the results for the third and fourth quarters to be very strong in combined with the solid first and second quarter results and expectations. We feel very confident about our ability to meet the annual expectations that we have laid out. And once again, our guidance for 2008 at this point does not quantify the impact of any anticipated accounting change for convertible securities via an additional non-cash interest expense increase. We do not have a final standard yet. And with that I will turn the call back over to Rand.
Rand Griffin - President and Chief Executive Officer: Thank you, Steve. Turning to our construction pipeline at March 31st we had 11 buildings under construction for $214 million located in for submarkets. With regard to leasing activity for the Colorado Springs buildings, ITT has now fully leased Patriot Park VI with occupancy scheduled for July 2008. We have signed a 44,000 square foot lease at our Hybrid II building located at Interquest Park for 81% of the space and a good activity of the Hybrid I building. For our underdevelopment pipeline in Colorado Springs, since Patriot Part VI has fully leased, we’ve started construction on Patriot Part VII. In addition we have good leasing activity for 30% of the space and we have one building that will start construction at Interquest Park this quarter. Needless to say, we are very pleased with the leasing momentum at our Colorado Springs Developments. With regard to under construction within the BW quarter, we have good leasing activity at 6721 Columbia Gateway Drive adjacent to our headquarters. At the National Business Park, we are starting the next building for defense contractors at 300 NBP and are starting to see some early indications of demand related to BRAC with two potential tenants looking and taking a large portion of this building. We are comfortable with our leasing activity for our building at the University of Maryland Baltimore Campus with potential tenants that are tied to the university. This is the last building to be built at this location. With regard to our building under construction which will finish construction in July, we expect this building to be a little slower to start leasing as it is the first office building in a new mixed use park. Our first building is under construction at the University of Maryland College Park, M Square Project is now 36% leased. We expect to start construction on the second building in College Park within the next quarter and have tenant interest for the entire building. Our expansion of 91,000 square feet at our San Antonio property is committed to our largest tenant and should be completed by the fourth quarter of this year. With regard to the building under the development pipeline we have interest from several defense contractor tenants related to the BRAC for a portion of the first two building at Northgate Business Park adjacent to Aberdeen Proving Ground. We also have good leasing activity for all of our first new building at White Marsh at 8130, Corporate Drive. So at this point we feel very good about our leasing momentum on our development pipeline. And as I mentioned earlier we are starting to see some interesting opportunities for our company where private developers are not able to move forward with development plans due to capital constraints. With regard to our 202,000 sq feet placed into service for the quarter, a 75% leasing level is lower than our usual 95% levels achieved the past four years. This level reflects the square footage that we have been holding at 302 NPB in anticipation of the mega-center that we discussed on our previous call. In summary, I think we are on track for another year of strong FFO and AFFO growth despite a weakening economy. Our core government defense IT and data sectors continue to grow and are somewhat recession resistant. In addition, we think outstanding customer service will give us a competitive edge as we compete for tenants to lease our development pipeline and retain leases that are rolling this year. And with that we will open the call for your questions.
Operator: Thank you, Mr. Griffin. (Operator Instructions). Your first question comes from the line of Chris Haley representing Wachovia. Please proceed.
Unidentified Analyst: Good morning guys this is (Inaudible) here with Chris. I have a couple questions for either Rand or Roger. In your '08 guidance, could you tell us what the implied leasing volume is needed for the year compared to total leasing in '07 excluding development lease up just looking at operating portfolio?
Roger Waesche: We leased 719,000 sq feet in the first quarter and for the balance of the year we have 200,000 square feet in the second quarter, if that matures, we have 794,000 sq feet in the third quarter and 190,000 sq feet in the fourth quarter. That totals 1.2 million sq feet and our expectation is that we will renew about 80% of the balance of that square footage and that will leave a whole of about another 150,000 sq feet that isn't leasing and that we will do that much otherwise lease up in our portfolio to maintain our existing occupancy and coupled with what we have leased but not occupied yet coming in to the occupancy category. We will get up close to 94% occupied by year end.
Unidentified Analyst: So would you say that’s in line with those 7 leasing or 80 or 90% of leasing volume in '07?
Roger Waesche: Well that’s higher in terms of renewal percentage. In terms overall leasing it will be about the same because we will retain more tenants’ s and do less new leasing.
Unidentified Analyst: Go you. In regards to development leasing, can you tell us what your expectations are for leasing on the development pipeline where we should expect the pre-lease rates to be for the next six months?
Rand Griffin: Well I think the – we have several situations. Typically we don't do high pre-leasing on development. A lot of times we are anticipating demand or we are getting RFPs from multiple sources and that’s a good indicator of demand for us. It’s a little unique environment that we are in with BARC and early indications of demand that we see coming down the line which really accelerates as you get into '09 and 2010 causes us to look pretty carefully at accelerating some of those development starts. So as I said on the call, we typically are 95% leased when we have delivered our development portfolio we had the one exception this past quarter. So I would expect us to be in that range again this year which would say if you did that you are leasing close to a million sq feet of development activity and that combined with the leasing activity that Roger talked about would put us pretty close to last year on overall performance.
Unidentified Analyst: Go you thank you. And lastly one quick question for Steve. Could you tell us what the assumption for LIBOR was used for '08 guidance?
Stephen Riffee: Well we have a range. It gets to 3% or rather second and third quarter and 308 I think for the fourth quarter.
Unidentified Analyst: Okay, thank you. That’s it.
Operator: Your next question comes from the line of John Guinee with Stifel Nicolaus. Please proceed.
John Guinee: Hi John Guinee here. It’s a wonderful quarter nice job. Hey, just something you haven't talked about in a while can you update on Fort Ritchie, Blue Bell and White Marsh?
Rand Griffin: Okay I will take Fort Ritchie. A lot of the activity that we have planned this year relates to completing the demolition of the old barracks and the old houses which we have done. The site is very pristine now. Starting to rehab of some of the existing office buildings the leasing continues to ramp up a little bit, we do have some fairly strong leasing indications which are not yet signed but good activity. We have gotten the overall master plan which we readjusted that’s been approved in the first quarter and we are starting in on utility designs that will be underway for a new substation all of the new underground electric enhancing the plumbing and then starting in on the residential design in the infrastructure there so. Fairly we don't count on a lot of income this year coming out of Fort Ritchie but we are doing all of the necessary elements to get it well positioned for some ramp up that we see starting next year. And then I will let Roger talk about Blue Bell and White Marsh.
Roger Waesche: John with respect to Blue Bell we have three buildings there that are 100% leased to Unisys Corporation. Their leases mature June 30 of 2009. Our anticipation is that – and one of those three buildings has been sublet to Merck. Our anticipation is that Merck will stay doing a direct lease with COPT going forward and that Unisys will renew some but not all of that space and that we will be in a retenating and redevelopment situation on probably 4 or 500,000 sq feet of the 960,000 sq feet beginning in the summer of 2009. With respect to White Marsh when we acquired that portfolio it was 1.6 million sq feet and it was 84.5% leased. Today we have sold one building bringing that down to 1.54 million sq feet and we are 85.1% lease. So we have increased the occupancy just less than 1%. We do have good activity for White Marsh and as Rand mentioned we do have one building that we are hoping to pull the trigger on in terms of construction relatively soon because the multi storey buildings that we have in White Marsh are now full and so we have no product and we do have demand and so, we are going to be moving forward with a multi-storey building and hopefully in the next quarter. The single-storeyed product is still relatively well leased and we have good activity and think we can maintain our occupancy and build it over the next year.
John Guinee: Thank you great.
Rand Griffin: Thanks.
Operator: The next question comes from the line of Rich Anderson representing BMO Capital Markets. Please proceed.
Rich Anderson: Thanks and good morning everybody.
Rand Griffin: Hi Rich.
Rich Anderson: In terms of the out performance that you or the top end of guidance that you achieved for the quarter. Was that basically just sort of same store related when you sort of drill it all down leasing and same store?
Stephen Riffee: Well I would say same store was strong and I would say we probably outperformed our forecast and then aligned by about a penny a share, we also had an interest benefit, and then I talked about some of the things that actually went the other way, we have less terms fees and less gains in that sort of thing.
Rich Anderson: Okay. I just wanted to (Inaudible) there. Rand you mentioned in some circumstances where developers are having some capital problems, are there – if you could just sort of paint a picture for me how that looks, are the buildings that are sort of partially developed that you can come in and takeover, is that what you see or is it something sort of not that for a long in the game?
Randall Griffin: I think Richard runs the full gamete, I mean, the more typical and almost every day now in one of our submarkets we are seeing some announcement where somebody who is planning to go on a office development has frozen it, and due to their view of the market but more importantly their inability to get financing. And so, in some instances these are entitled sides which they have gone through all that work and in some of our markets that takes a while year and half and so, they’re out looking for solutions and where a logical solution for some of these circumstances. So we don’t see any -- once the building is started I am not seeing any situations where somebody is having difficulty I mean, once you’ve done that you got new financing, you’re going to go through into that point. So these are the predevelopment or getting ready to make that big decision starting, and it’s a tough financing environment out there which is favorable for REITs in general, we are not alone in this, I’ve heard through other institutional investors call that there are really almost through most of the product types people doing the same thing elsewhere. So I think the full indication of strength of -- financial strength of REITs.
Rich Anderson: And you could see – are you more inclined to pursue these types of opportunities in markets outside of your DC core or would it be again a mix?
Randall Griffin: Both, it’s really both.
Rich Anderson: And what about new markets outside of San Antonio and Colorado Springs?
Roger Waesche: Well I do say, as I said on the call, I do start to see some opportunities where people put a lot of work into getting themselves positioned and their markets that we have been studying for a quite a while and all of a sudden they have some issues and have contacted us and so, we will see how that unfolds.
Rich Anderson: I see – so they sort of have done the initial leg work for you in a way and now sort of may be just draw that rigs camels back for you to get going on a new market?
Randall Griffin: I don’t know that I would call try the legs of camel back, but I think we -- as I said on a call we have some unique skills sets, and besides the capital strength that we have we also have some very strong tenant relationships that have unique capabilities and some times those comes the fore front when the people start looking around the country at due to they want to aligned themselves with that expertise. We go to top of that list. So we do see these things starting to unfold we just see what happens.
Rich Anderson: Lastly you mentioned acquisitions, can you make the exact same comments about acquisition opportunities as you do about development opportunities at our other market? 
Randall Griffin: That’s little tougher, because there is a couple of comments on that. The first is that there is just not a lot in the market place, I know I have written and seen some of the write ups from analyst and others saying that there has been increase in the CAP rates and we just haven’t seen it in the greater Washington region that help study in this, outside the dealt rate has been very good pricing inside to that way in DC proper. So there is not a lot on the market were we are starting to see some on the market is on the fringes of the greater Washington region or in our tenant centric cities, and again those are situations where people have build buildings and have anticipated selling them as part of pre-selling or selling when completed, and their IRR clock is clicking and they need to solve it and there is a few others that testing the market to see whether purchasers can get in the range of their falls on pricing and everybody is worried about the financing side of thing. So, if you have financing capabilities that we have it could work to our advantage, and we’re just starting to see the first inklings of that, but nothing of any kind of volume in other markets.
Rich Anderson: Okay. It sounds good, thank you.
Rand Griffin: Thanks Rich
Operator: Your next question comes from the line of Michael Bilerman representing Citi. Please proceed.
Michael Bilerman: Yeah, (Inaudible) as well. Roger can you just expand a little bit on the reselling the quarter, you look at Suburban Baltimore and Northern Virginia your average lease term was on the renewed space 1.4 and 2.1 years and totally it was 1.7 and 2.1. So seemed to be little bit short maybe you can just expand on what's driving those deals?
Roger Waesche: In the case of White Marsh which is Baltimore County it has do with tenant that wants to expand and grow into another building with this and so, we’re moving our occupancy along a while until we can sort that out, and the rest of it is simply, some tenants don’t want to make a long term commitments on space at this point. So, one, we did have a few of those situations in this quarter where tenants want to renew, but for shorter terms, the normal average renewal was about five years, and so we came up a little bit shorter this quarter.
Michael Bilerman: Does that give you any sort of pause, when you say tenant don’t renew for long time and some of the leasing at least in the development pipeline, it is a little bit more delayed you talked about increasing concessions overall just – I am just trying to handy..
Roger Waesche: I don’t think we were trying to scare anybody, we are just being realistic that the market is as strong as it was 18 months ago and so, we’re acknowledging that both to our sales and to the investor community so that they can expect the fact that leasing could be a little bit slower and that our concession packages could be a little higher than they had been. But in terms of – we are not panic, we are not – I would say in terms of are we going for occupancy versus rate or sort of in mutual category right now, we are not in a push rates for hard and we are not except any rate to get occupancy or about new trend on our markets on average 
Rand Griffin: I would add Michael that if you look at past recessions, this is fairly typical I mean, I think the markets are stronger going into potential recession for end one or entering one. But when people start into that on the typical tenants and these are the non-government, non-defense, non-data tenants. These – they go into two kind of modes, one is really GI, I want to wait and see a little bit on how my company is doing before I commit to the longer terms. So they can get a short term extension or sometimes are saying, well the market is going to really deteriorate and maybe I can get a better leasing on a year and half and so, I will just, to a year and half see what happens. A lot of the times those are the people that get surprised because the market could turn positively very quickly, what happens is nobody starts buildings except for people like ourselves, they have the capacity and cheap ground, and all of sudden the fix back up there is a lag time for the new development start and those people that signed 18 months leases find themselves in a significantly accelerating leased rate environment. On the government and defense side that study and we see continued depend in long term lease extensions and very healthy from that side.
Michael Bilerman: Given the ramp you have at least to get to you know the full year in terms of leasing in the development, you don't feel that what sort of a crime, what you’re hearing from the tenant to give you some pause that you’re not going to up to get the ramp and in earnings that you are sort of forecasting, I am just trying to recognized 
Rand Griffin: No, I expect they were – I guess we are very comfortable there. We see there is some tenants, its typically what you see it in a smaller tenets who struggle and seen that on the some of other week reports where they have talked about some defaults and some of the smaller tenants trying to come for early renewals but wanted to downsize , our tenant base are averagely size as 20,000 feet versus an average of 5000 feet at other officer rigs. And so, we don’t tend to have that kind of pressure and the larger tenants, they’re looking long term, they also recognized the cause that it takes if they wanted to relocate or and so, we tend to get more companies renewing in a recessionary environment.
Michael Bilerman: Hi, it’s (Inaudible). Can you -- should we be baking in slightly lower development yields for the next couple of years for some of these concessions that you had mentioned?
Roger Waesche: You have in your numbers now.
Michael Bilerman: I think you spoke in the past about a 10% going in cash on cash, what order of magnitude do you expect those bigger concession having across?
Roger Waesche: I don’t think the concessions are really impacting that very significantly at all. If you have people looking, generally what happens is and this has been I think tied to now, is just been trend over the last few years where the spaces are getting increasingly sophisticated, more widely, more HVC requirements and some of the TI allowances have gone up. But the positive of setting that is you know, in our numbers have lease-up and a lot of these leasing earlier than that, and so that offsets any potential increase in TI. So I think when we looked at it, we are still very close to the 10%, you might ever feel them that are below the 10% cash on cash and you have others that are above it and I think the average is still very close to that 10%.
Michael Bilerman: And can you talk a little bit about the data center initiative that you have alluded too in the past. Are there any specific projects that you are planning on starting any time soon and what sort of dollar volume starts. Update us on what should we expect over the next couple of years?
Rand Griffin: I think the data center you know, we have about 1.5 million square feet of that space. We are continuing to study that business. We are learning from it. Some of the constructions starts, I won't be specific about it, but some of the construction starts that are in our development of and/or construction list or data. But we are not disclosing those separately at this time. And you know, we have other starts that we see coming up, some other leases happening that are in front of us. So we will continue to see the dollar side of our business grow, I would say that’s it’s a slightly different model from some of the other companies that’s specializing data, ours tend to be single tenants, for building -- and these are secured building as well and tends to be the tenants putting at the bulk of the tenant finish, heavy requirements and not ourselves.
Michael Bilerman: Have your yield on those developments compare to the 10% on traditional office?
Roger Waesche: They are a little higher, but we are not doing the return on and return of gain that some of the other people are doing. So what happens as you spend a little bit more money, that normal you’re getting a little higher return on that, but you know, so you are getting more return and a little higher margins. And then you are getting some fees on the work that you are doing for the significant dollars that have been spent on those spaces again paid by the tenants.
Michael Bilerman: Thank you.
Roger Waesche: Okay.
Operator: Your next question comes from the line of Michael Knott representing Green Street Advisors. Please proceed.
Michael Knott: Yes. Ran, can you just give a little more color on the acquisition opportunities that you guys talked about, would those be potentially, it sounds like both looking at deals within your adjusting markets and deals in new markets.
Randall Griffin: Well, I would break it down slightly differently Michael, if you look at what I would call acquisition opportunities, they are pretty much going to be within our existing markets. And again we are not seeing a lot, it’s just early signs of it, it’s not a lot of volume, but for us it is encouraging. And again I think when we had started the year, we thought that the acquisition market will really be something that we would see in the second half of the year, picking up and now we are probably think a lot it’s going to flow into 2009, more than '08. The other aspects outside of our existing markets really relates I would say Michael more to development opportunities, where people have controlled some ground, gotten entitlements and now finding themselves unable to finance, those are markets that we have been studying for a while, and so, this could present an opportunity and we set to see how that unfolds.
Michael Knott: And as far as acquisitions within your existing markets, are you seeing just a better selection of properties that you are interested in or is pricing come back more closer to what you would like to see? I believe you guys had been previously a little bearish on pricing and some of the deals you were seeing in the marketplace?
Roger Waesche: I think the problem has been in the past couple of years is that the pricing was well above replacement costs. We just won't do that. We won't buy above replacement costs and so we have been out of the market and I think that could be somewhat true of REITs in general and we were just out negotiated in terms of people, we’re doing very cheap and 95% financing levels or higher and that just isn't our game. And so those people are now by and large out of the market and so, we haven't really seen the pricing levels move, I would say, that significantly yet, but I think they are starting to get to the point where it's interesting as far as the replacement cost benchmark. And the difference really is just there probably are not as many people out in the marketplace who have the financing and are able to compete and so you are not getting that quick ramp up on bidding that you saw over the last several years.
Michael Knott: And if I can just add one more question on this topics. When you consider issuing OP units at this point in time or how do you view your - the value of your currency?
Company Representative: Well, I think Michael when we think about OP units, we put in the context of what are we getting in exchange for the OP units. So what’s purchase price of the asset that we are getting, what's the yield, what's the value versus replacement cost, what's its strategic value at the company. So would we normally want to stock at 38 or $39 a share? No. Only if we got tremendous value for the company that we can be push forward when we consider doing them.
Michael Knott: And then my last question. Steve, could you just clarify comments on the land sale side, somewhat like maybe you are going to consider land sales to fund some of your funding needs? I know you had mentioned in the prior calls. Can you just provide a little more color there?
Stephen Riffee: Not so much from a funding standpoint. When I gave guidance at the beginning of the year, we said that at the top end of our range of guidance that maybe gains of non-operating assets and that kind of income could contribute up to $4 million for the whole year. We also said that we expected things like the condo sales to be $1.1 million for the quarter. It was only $800,000. So it's not a major funding source and that was just a -- and I really have an update on that. I am not saying we are going to get to the top $4 million level, I am just leaving that out there from the original guidance, but it wasn't so much of funding sources as much as just trying to give good clarity to the guidance that were given.
Michael Knott: Thank you.
Operator: (Operator Instructions). The next question comes from the line of Chris Lucas representing Robert W. Baird. Please proceed.
Chris Lucas: Good morning guys.
Rand Griffin: Hi Chris.
Chris Lucas: Steve, just a followup on the condo sale issue, was the shortfall related to pricing or was it related to not completing the sale of the condos during the quarter?
Roger Waesche: This is Roger, Chris. I had two things. One, we didn’t sell all of the units. And then secondly, we did get what we felt we would get in terms of the yield on those condo sales. So after we took into consideration the minority interest and the tax impact, the aftertax impact of the benefit of that because it's a merchant gain situation, we have to pay taxes. And so between our partner share and the taxes, we ended up receiving what we thought we would get.
Stephen Riffee: And we had just left room for other potential gains in our original guidance we just didn’t sell or get those.
Chris Lucas: Okay. But you still have about, I don’t know, 4,300 square feet of space there that you could potentially generate gains from as well, is that right?
Stephen Riffee: Correct.
Chris Lucas: Okay. And then Steve just one more question about the guidance. In terms of the service revenue expected for the year, is that number still inline even with the relatively light first quarter?
Stephen Riffee: Yeah, we haven't changed it yet for the year we didn't have a light first quarter. So at this point it could be over less, but I am leaving it out there which means more of it will happen a little later in the year, at this point time in our current forecast.
Chris Lucas: Okay. And then I guess, just in terms of thinking about the guidance, what these to happen for if you get to low end of the guidance range? What are the issues that will impact that?
Rand Griffin: Mike, I think we pretty confident that we going to get there I mean, we -- Roger get pretty good color on the leasing and we feel very good about the development contribution too. We did say that things will kick in the second half of the year that wouldn't kick in the first half of the year. So we will have more fee income in the second half of the year. We’re pretty confident about our leasing assumptions even though we’ve to work hard to achieve it. And if you go back to our original guidance we said that just in our NOI growth year-over-year, we had $11 million of growth from development placement service in 2007, and that's right on pace so more forecasting that's going to make that contribution and we only had $4 million of NOI in our guidance for development patient place in 2008 and we are still feeling pretty confident about that. So I think we’ve updated GNA interest, we brought down our term fees and kept our guidance where it is. So I guess that’s in term so color.
Chris Lucas: And in terms of the higher what responsibilities are they going to?
Steve Riffee : Its just timing. So, at this timing we were conservative in terms of start days and couple of things.
Chris Lucas: Okay. And then, Roger, just can you give me a senses to what the -- in terms of remaining lease expirations. So I guess what submarket they have concentrated in?
Roger Waesche: Most of them are in the BW quarter and a little bit in Baltimore County, we only have -- I thinking the beginning we mentioned we had 26 leases exceeding 20,000 square feet, we only knew one non- renewal are now down to 13 leases that exceed the 20,000 square feet and/or so believing that there are only one non-renewal or the year in that segment of the – breaking on our maturing leases.
Chris Lucas: And then, can you give me a sense of as to what the mark-to-marked would be signed at BWI quarter?
Roger Waesche: In other things that will continue to see in our high single digit growth level on the GAAP basis are going forward.
Chris Lucas: And then I know it’s a little far out but if you would mark to market leases in Northern n Virginia portfolio that are expiring at the end of '09 what sort of the spread are you seeing there?
Roger Waesche: We only have one significant lease its 99,000 sq feet the matures December of '09 and that leases I would say a little bit below market.
Chris Lucas: Okay, great. Thanks a lot guys.
Rand Griffin: Thank you.
Operator: Your next question comes from the line of David Rodgers representing RBC Capital. Please proceed.
David Rodgers: Hay good morning, Rand, first question the how much available land inventory do you feel comfortable given your comments on the call may be moving into that development pipeline throughout the course of 2008, realizing that wouldn't likely complete to '09 or after?
Rand Griffin: I think what we are seeing is probably another million square feet of that staring this year David. So again its 15.6 million sq feet I think that you will see some of that above million and then I think you start to see accelerating because of Iraq and some other activities in the next couple of years. So we look very carefully at land inventory and we like the fact it is spread out over some of our markets, some have different velocity, our Springs has got very good velocity rate now, the broad locations will have strong velocity in the Northern Virginia is frozen or not. But we still look at that as kind of 8 to 10 years sort of build out on the 15 million square feet.
David Rodgers: Okay. And then combination question for Rand and Steve, the opportunity that you talked about Rand in other markets, well potentially your own markets with respect to development which is not fundable from other competitors. Those seem to be that you focused on more immediate opportunities as opposed to the longer term, is that in fact correct, do you feel comfortable changing your capital plans, you think you would need to change the capital plan to execute upon those new offerings?
Steve Riffee: This is Steve first of all nothing specifically is in the world so we are looking at alternatives in terms of going along. If its developments it take a little bit longer, it doesn’t take totally initial cash outlay. But we do model all the time, if we had an opportunity to deploy, as Roger said, to deploy capital a great value, what alternative capital plans would we have. So we feel like we’ve done a lot of contingency planning, but at this point we don’t see a big capital outline in 2008, if it were development opportunities that means some of the funding would happen after 2008.
David Rodgers: Thank you
Rand Griffin:
.: 
Operator: The next question comes as a followup from the line of Michael Knott representing Green Street Advisor. Please proceed 
Michael Analyst: Yeah, I was just wondering if you could comment a little bit on the `09 lease rollover schedule, that’s like about 15% of your portfolio, and it summarize just a small part of it is in Northern Virginia, can you comment on the outlook for the rest of it, where its looking at?
Roger Waesche: Well 960,000 square feet is up Blue Bell which is the Unisys Campus and the rest of it is spread pretty evenly, we have now Northern Virginia and so the majority of it is in the BW carter.
Analyst: Thank you.
Operator: Gentlemen there are no any further questions at this time. I'd now like to turn the call back to Mr. Griffin for closing remarks. 
Rand Griffin: Thank you for joining us today. As always we appreciate your participation and support. Roger, Steve, Mary Ellen and I are available to answer any other questions you might have. For those of you that are interested we are holding our annual meeting at our Corporate Headquarters on May 22nd, at 9.30 and we would love to have any of you there who are closer, who would enjoy l meeting of board and some of other shareholders. So thank you and have a great day everyone.